Operator: Good day, and thank you for standing by. Welcome to the Twilio Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Bryan Vaniman, Senior Vice President of Investor Relations and Corporate Development. Please go ahead.
Bryan Vaniman: Good afternoon, everyone, and thank you for joining us for Twilio's Third Quarter 2025 Earnings Conference Call. Joining me today are Khozema Shipchandler, Chief Executive Officer; Aidan Viggiano, Chief Financial Officer; and Thomas Wyatt, Chief Revenue Officer. As a reminder, we will disclose non-GAAP financial measures on this call. Definitions and reconciliations between our GAAP and non-GAAP results can be found in our earnings presentation posted on our IR website at investors.twilio.com. We will also make forward-looking statements on this call, including statements about our future outlook and goals. Such statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those described. Many of those risks and uncertainties are described in our SEC filings, including our most recent Form 10-K and our forthcoming Form 10-Q. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We disclaim any obligation to update any forward-looking statements, except as required by law. And with that, I'll hand it over to Khozema and Aidan, who will discuss our Q3 results, and we'll then open the call for Q&A.
Khozema Shipchandler: Thank you, Bryan. Good afternoon, everyone, and thank you for joining us today. Twilio had a great Q3, reaching $1.3 billion in revenue and $235 million in non-GAAP income from operations, another record for both. The team's operational rigor and discipline is paying off as we executed across the board and exceeded our quarterly guidance. As a result, we've raised our revenue, profitability and free cash flow targets for the full year, which Aidan will discuss in more detail. We saw broad-based strength across customer segments from innovative and high-growth start-ups to the world's largest global enterprises, all choosing Twilio to power their customer engagement. This momentum and the continued revenue growth across products like messaging, voice and software add-ons are a testament to the growing trust in the Twilio platform to help brands create amazing experiences. Our progress was repeatedly underscored by my conversations with customers this quarter who consistently expressed excitement and validation for the direction we're taking. During the quarter, Twilio's ISV and self-serve customers continued to be excellent growth drivers with both growing revenue more than 20% year-over-year. Importantly, our innovation bets on new trusted capabilities like conversational AI and branded communications are also paying off. In September, we hosted our annual Exec Connect event, where we spent a few days with our most strategic accounts, giving them a preview of the Twilio platform and road map. I witnessed customers ranging from global banks, AI startups and Fortune 500 software companies having multiple aha moments as they watched our demos and understood what is possible when you have a lifelong two-way omnichannel conversation with your customers over time. I believe Twilio's potential is to be the customer experience layer of the Internet. Our customers are eager to build on a platform that brings together three essential capabilities: multichannel communications, contextual data that creates a persistent customer memory, an AI-driven orchestration that turns every interaction into an intelligent two-way conversation. With these seamlessly integrated across the entire customer journey, Twilio empowers businesses to build relationships that grow stronger and more meaningful with every engagement. Go-to-market execution continues to be a key driver of our results. In Q3, we had several notable customer wins, including a nine-figure renewal spanning multiple products with a leading cloud provider, the largest deal in our company's history. Other wins included Genspark AI, GoGoGrandparent, Inhabit and Paychex, among others. Self-serve, a foundational growth lever for us and an important entry path for our customers to build and grow their usage on Twilio grew 20% plus year-over-year. As an example, last December, a leading AI model company started as a self-serve customer using e-mail for account creation notifications. In under a year, they've scaled into a 6-figure multiproduct customer, now using our voice stack to power their AI agent for outbound and inbound calling at scale. We're also seeing traction in cross-sell and our solution selling, in which we bundle multiple Twilio products together to help solve more complex customer use cases. Q3 marked the first quarter with our agent productivity solution in market, which is a new bundled offering that makes it easier for customers to purchase multiple products across the Twilio platform to transform their customer experience. More specifically, the solution helps businesses boost both human and virtual agent productivity, increase speed to resolution and provide better call deflection and containment. During the quarter, we signed our first set of agent productivity solution deals. A standout example is Inhabit, a leading property management software company who chose Twilio as the partner for its multiyear hybrid agentic transformation. This is powered in part by Twilio's Flex as the modern omnichannel contact center, integrating voice, SMS, e-mail and chat and ConversationRelay as the layer that powers Inhabit's virtual agents intelligent handling of inbound leasing inquiries. While it's still early with our solution selling motion, we're seeing encouraging traction in financial services, retail, travel and health care and have a healthy pipeline of new business with a strong mix of high-margin products. And finally, our efforts to target ISVs are continuing to deliver strong results as revenue from ISV customers grew 20% plus year-over-year. One notable win we saw with ISVs was a leading enterprise management platform who signed a seven-figure deal to use SMS, WhatsApp and RCS in their platform, in addition to Engagement suite running over the top. The incremental investments we made last quarter are paying off as we're continuing to see strong customer demand for voice, conversational AI and RCS. Our voice business accelerated to mid-teens revenue growth year-over-year, its fastest rate in over three years, aided by growth in the AI ecosystem. ConversationRelay call volume more than tripled quarter-over-quarter as customers are increasingly relying on Twilio's technology to power context-aware voice AI agents. For example, a long-time messaging customer turned to voice and ConversationRelay to create AI-enabled voice mail agents that helped redirect phone calls and send follow-up texts for customers' appointments. The customer chose to integrate the Twilio solution rather than trying to build or source this technology from multiple providers. We're also seeing a growing wave of AI start-ups choose Twilio as the foundation for their intelligent voice capabilities. Genspark AI, one of our top 10 voice AI start-up customers, signed a voice deal and launched within a week to power their automated call for me function, which allows their super agent platform to make phone calls to businesses, services or individuals on the user's behalf. Additionally, Genspark signed an e-mail deal for marketing communications. This rapid time to value remains a key differentiator across our platform. In Q3, RCS became generally available around the world, and we saw RCS messaging volume more than double quarter-over-quarter. These branded experiences are able to help consumers trust the brands they're communicating with, which is especially important as the holiday season is upon us. In fact, Partiful, the social events platform, onboarded with RCS this year and sent millions of messages in Q3 across multiple countries, powering a branded experience for event invitations and reminders. We also saw continued adoption of software add-on products, including Twilio Verify, which helps customers with authentication use cases while protecting them from fraud and abuse with AI-powered features such as Fraud Guard. Verify has been one of our fastest-growing products and grew more than 25% year-over-year, a clear signal of the rising demand for trusted verified communication in an increasingly digital and security-conscious world. Finally, today, we announced that we entered into a definitive agreement to acquire Stytch, an identity platform for AI agents that's built for developers. This is a small tech and talent tuck-in that will augment our ability to enable amazing digital interactions by delivering next-generation authentication capabilities built for the era of generative AI. In summary, our Q3 results showcase the continued hard work of our team as we execute on our strategy. I was pleased that Twilio made the list of Best Workplaces for Innovators by Fast Company, a recognition that highlights our strong culture of creativity and employee-led innovation. We remain focused on ending the year strong and helping our customers realize the power and possibilities of the Twilio platform. And now I'd like to turn it over to Aidan, who will walk you through our financial results.
Aidan Viggiano: Thank you, Khozema, and good afternoon, everyone. Twilio had a record-breaking third quarter. We generated record revenue of $1.3 billion, up 15% year-over-year on a reported basis and 13% year-over-year on an organic basis. We also generated record non-GAAP income from operations of $235 million. Free cash flow was $248 million. We're continuing to drive top line performance through broad-based go-to-market execution. Messaging revenue grew in the high teens for the second consecutive quarter. Voice revenue growth accelerated to the mid-teens, its fastest growth rate in over three years. This was aided by strong growth from voice AI customers, which accelerated to nearly 60% year-over-year. In addition, revenue from our 10 largest voice AI start-up customers increased more than 10x year-over-year. Software add-on revenue growth also accelerated, led by Verify, which grew more than 25% year-over-year. Finally, from a sales channel perspective, we saw continued strength from both ISVs and self-serve customers, evidenced by 20% plus year-over-year revenue growth from both. Our Q3 dollar-based net expansion rate was 109%, reflecting the improving growth trends we've seen in our business over the last several quarters. We delivered non-GAAP gross profit of $652 million, up 9% year-over-year. This represented a non-GAAP gross margin of 50.1%, down 280 basis points year-over-year and 60 basis points quarter-over-quarter. As we called out in our expectations for Q3, we incurred carrier pass-through fees of $20 million associated with increased Verizon A2P fees, which drove the sequential decline in gross margin. As mentioned last quarter, we continue to take actions to stabilize and improve gross margins. We are taking price actions across our business while investing in initiatives to drive platform efficiency. We're encouraged by the acceleration in high-margin products such as voice and software add-ons, and we believe these actions will drive durable revenue and gross profit dollar growth over time. Non-GAAP income from operations came in ahead of expectations at a record $235 million, up 29% year-over-year, driven by strong revenue growth and continued cost discipline. Non-GAAP operating margin was 18%, up 190 basis points year-over-year and 10 basis points quarter-over-quarter. This included a sequential 20 basis point headwind from incremental carrier fees. In addition, we generated $41 million in GAAP income from operations. Stock-based compensation as a percentage of revenue was 12.2%, down 150 basis points year-over-year and flat quarter-over-quarter. We generated free cash flow of $248 million in the quarter. Additionally, we completed $350 million in share repurchases, up roughly 100% quarter-over-quarter. This brings our year-to-date share repurchases to $657 million through the end of Q3, representing approximately 95% of year-to-date free cash flow. Moving to guidance. For Q4, we're initiating a revenue target of $1.31 billion to $1.32 billion, representing 9.5% to 10.5% reported growth and 8% to 9% organic growth. Our revenue guidance assumes $22 million in pass-through revenue from incremental U.S. carrier fees in Q4. That compares to $20 million in Q3. Based on our year-to-date performance and our Q4 guidance, we're raising our full year 2025 organic revenue growth guidance to 11.3% to 11.5%, up from 9% to 10% previously and raising our reported revenue growth to 12.4% to 12.6%, up from 10% to 11% previously. As a reminder, our reported revenue includes the contribution from incremental increases to U.S. carrier fees, whereas our organic revenue excludes those contributions. Turning to our profit outlook. For Q4, we expect non-GAAP income from operations of $230 million to $240 million. We are raising our full year non-GAAP income from operations range to $900 million to $910 million, up from $850 million to $875 million previously. Based on our strong cash generation year-to-date, we are raising our full year free cash flow guidance to a range of $920 million to $930 million, up from $875 million to $900 million previously. I'm very pleased with the strong revenue growth we delivered in the quarter as well as our ongoing cost discipline that is driving robust profitability and free cash flow. We remain focused on executing against our product and go-to-market initiatives as we close out 2025 and build on our momentum into 2026. With that, we'll now open it up to questions.
Operator: [Operator Instructions] Our first question comes from the line of James Fish of Piper Sandler.
James Fish: Great quarter here. Appreciate the questions. Maybe just on Stytch, how should we think about what functions or features it really complements Verify with? Why couldn't you do it organically here? And Aidan, for you, is there any way to think about the numbers impact financially to sort of purchase price and whatnot?
Khozema Shipchandler: Yes. Jim, thanks for the question. This is Khozema. Maybe I'll start. I would say just to maybe go back to our vision for a second, like our vision as we've articulated it, is to really ensure a world in which every digital interaction is amazing. And as part of that, what Stytch helps us do is to expand our capabilities to ensure that there's trust between businesses and consumers. And what we're finding is that for brands, that authentication piece is both a critical and foundational step in the customer journey in terms of creating that customer engagement. And so that was kind of the primary reason. It's an accelerant as far as that goes. And just I'll maybe take a part of it that you asked aid just since I'm talking. The revenue and the P&L altogether is pretty immaterial in the scheme of things. We don't think it's going to have a material impact on our financials going forward. In fact, it won't. And it's a small kind of tech and talent acquisition that we ultimately did for less than $100 million.
James Fish: Got it. That's great. Maybe not to let Aidan off the hook here. I'm going to get asked this all day tomorrow. But any sense to -- obviously, a very, very strong net customer addition number here. Any sense to what's causing that? And if you saw any churn related to the price increase and the overall price increase impact on the quarter?
Aidan Viggiano: Yes, I'll jump in here, but Thomas can add anything that he'd like. So just in terms of the net customer adds, you're right, Jim, it was a big quarter for us. Just as a reminder, last quarter, we announced that we were ending our free tiers for our e-mail and marketing campaign APIs. So we did that. Some fairly small accounts, I would say, ended up becoming active accounts, and that drove a big part of the add quarter-over-quarter. Now that being said, we still had solid customer account growth even adjusting for that. But that drove a big part of that number. And then as it relates to the price increase, we haven't seen churn associated with that over the last quarter or so.
Thomas Wyatt: And just to add a little bit more to that. We saw a particular strength in our self-service business, which generates a lot of our new customer logo acquisition and some of the voice AI capabilities was really attractive, and that business grew well over 20%. And then our enterprise new business team had a really strong quarter as well. So encouraging signs overall on customer adds.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Siti Panigrahi of Mizuho.
Sitikantha Panigrahi: That's great. Congrats on a great quarter. In fact, 13% growth against a tough comp, very impressive. And on the voice side, you said mid-teens growth specifically, I wanted to understand the voice AI adoption trends. And how should we think about this voice trends, especially with voice AI? What kind of trajectory we can expect versus messaging from here?
Aidan Viggiano: Yes. As it relates to some of the numbers in the quarter, so you mentioned messaging there at the end. So that grew kind of high teens. That's our second consecutive quarter of high teens growth on the messaging side. And voice grew mid-teens, which is our fastest growth rate in over three years. A big part of that, we gave some of the voice AI stats, but let me repeat them. So the cohort of voice AI customers that we kind of look at, they grew nearly 60% year-over-year. our top 10 largest kind of voice AI start-ups were up 10x. So this continues to be an area for us where we see accelerated growth. We're really excited about it. Thomas just talked about how that's impacting kind of our self-serve business as well, and that kind of sales channel in total was up 20% plus. So we're pretty happy with the performance from a voice perspective, and it's something that we continue to be excited about going forward.
Khozema Shipchandler: Siti, I'll add one thing, which is just generally in terms of voice AI. I mean it's still a relatively small portion of the overall business and the overall voice business at that. And so I think what we're seeing is like pretty healthy performance across the entirety of the voice business. It spans a wide variety of customers, industries and use cases. And so I think given all that, like we're kind of encouraged about where it could potentially go, just given the fact that we sit at the center of the AI value chain -- the results have been good. We obviously don't guide by product, but I'll just kind of leave it at that, that we're encouraged by the trends, and we have seen very good product adoption, especially as you start to think about the ongoing trends around voice AI and then some of our products like ConversationRelay, for example.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Alex Zukin of Wolfe Research.
Aleksandr Zukin: Maybe just the strength that you're seeing in the non-messaging business, the sequential adds up a lot this quarter, I think almost double last quarter. So a two-parter. Maybe what drove that? Is that primarily voice? And if it is voice, why not -- when do you expect to see some of the positive gross margin benefits of that attach? And I have a quick follow-up.
Aidan Viggiano: Yes, why don't I jump in here. So the net adds in terms of customers kind of quarter-over-quarter was largely e-mail actually. So we did away with our kind of free tier, and we saw, we saw a number of smaller customers kind of convert onto the platform as active accounts. But excluding that, even adjusting for that, we were up kind of quarter-over-quarter. As it relates to gross margins, I think maybe a couple of things. So, first, sequentially, we saw gross margins flat adjusting for the carrier fees. As we think about voice and how that impacts gross margins going forward, as kind of Khozema said, a lot of the AI start-up revenue is still pretty small. But as a company, we're driving a mentality of cross-sell, upsell, adoption of our software add-on products. And I think, as you know, Alex, most of our non-messaging products are very high margin. So as that continues to progress and as we make progress on that from a go-to-market perspective, that should help buoy gross margins going forward.
Thomas Wyatt: And if I could just add one point on the growth we're seeing, in particular in self-service, a lot of those customer additions, 40% of those customers -- that was 40% growth was in voice in particular. So that's the strongest part of our self-service business as well.
Aleksandr Zukin: And then maybe an embarrassing of good news -- embarrassment of good news this quarter between the large cloud service provider deal, nine figures that you signed, maybe kind of double-click on that. What drove that? Is that related to the partnership we saw with a named service provider earlier in the year? And also, to your point, the ISV relationships seem like they're inflecting the growth opportunity. Kind of what's -- is that [ ISA ], your lead agent driving so many leads so efficiently? Or what's driving some of these elements?
Khozema Shipchandler: Yes. Alex, this is Khozema. I'll take that. So a couple of questions there. I'd say ISV relationships generally, we've done well there, like we've been able to grow that cohort particularly well. As Thomas said a number of times, like a lot of those customers actually start in self-serve and they grow from there. And then they, in many cases, grow to be very large accounts over time that grow with us over extended periods of time. And so I think that combination of self-serve then feeding over to ISV and then those ISV relationships growing, that's what you're kind of seeing play out there. In terms of the larger deal that you referenced, we're not going to provide necessarily additional financial details there. It's a customer that we had a relationship with for some period of time, and we're excited about signing a really material renewal.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Taylor McGinnis of UBS.
Taylor McGinnis: Congrats on the quarter. When we look at the 4Q guide, so the 8% to 9% organic revs growth guide is solid. So maybe just two questions on that. One, I know 4Q volumes tend to be tied to the performance of the holiday season. So any early signs on what you guys are expecting there and maybe the puts and the takes of some of these emerging or other areas outside of messaging growing faster and how that could contribute to the guide and how you guys are thinking about the messaging holiday piece? And then second question would just be the performance in 3Q was really strong and greater than what we've seen historically. So just curious if anything surprised you guys or if there was any areas that performed better than expected?
Aidan Viggiano: Yes. Why don't I start with the second one, and then I'll hit on the holiday season. I wouldn't say anything surprised us. What I'll say is it was pretty broad-based, which I think is encouraging. So we've kind of talked about the different pieces, right? But from a sales channel perspective, ISVs, self-serve, right, both were up 20% plus. Our software add-on product, which is something we've been driving with the go-to-market team, the sales team, we saw that accelerate, in particular with products like Verify. Then from a product perspective, our two biggest products in messaging and voice, both grew kind of mid- to high teens, which is great. A lot of the voice stuff driven by the voice AI start-up customer volume that we just talked about. And then from an industry perspective, I'd say consistent with kind of Q2 and Q1 is it was pretty broad-based, right? We saw healthy volumes in tech, health care, professional services, retail e-commerce. So I think that's kind of how I think about Q3. And then as it relates to the holiday season, I guess what I'd say is as we kind of called out last year, we had a very strong holiday season, which does create a little bit more of a challenging comparison for us this year. Obviously, the usage-based nature of our business, and I'd say maybe a bit more of a mixed macro does make it a little bit harder to kind of predict the holiday season, but we're pleased with the guidance that we're providing right today on Q4. And we're encouraged by the strength that we've seen across the product portfolio, across the sales channels and across the industry verticals.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Elizabeth Porter of Morgan Stanley.
Elizabeth Elliott: I wanted to follow up on some of the comments around demand for voice, and you've really highlighted some great adoption with AI start-ups. So my question is, how are you seeing adoption trends for some of the newer products like Conversational Intelligence and ConversationRelay among some of the more traditional non-AI parts of the customer base? And how are you thinking about the traditional enterprise customers engaging with these products? And any sort of pathway you see for broader adoption outside of the early AI company?
Thomas Wyatt: Yes. Thanks, Elizabeth, for the question. This is Thomas. I think just broadly, we saw a really solid traction of our enterprise and ISV customers with multiproduct growth. In particular, add-ons, as Aidan said, grew 20%, but also multiproduct customers count grew north of 20% as well. And to give you some examples of that, ISVs in particular, we saw a lot of early traction with our agent productivity solution, which really brings together a lot of core capabilities of voice, SMS, e-mail and chat all into a unified experience and ConversationRelay is really what powers that to create these virtual agents that can allow customers to power customer care use cases or presales use cases. And there's a number of examples that we've already talked about. One in particular that we're excited about is Inhabit, which is a company that does leading property management, but a great example of how you can use a number of Twilio technologies in an integrated way to deliver a new experience. So we're seeing it in enterprise. We're seeing it in ISV as well as the voice AI start-ups.
Elizabeth Elliott: And then just as a quick follow-up on the net dollar-based retention saw a nice uptick again, particularly against a harder comp. So could you just unpack that a bit? How much of the uplift was pricing related, if any, versus underlying expansion? And as you continue to see success with these larger customers and deals, how should we think about the durability of that NRR trend?
Aidan Viggiano: Yes. I'd say it's mostly expansion. I don't think the price increase that we did in June around U.S. messaging. I don't think that had a material impact in the quarter. What I would say is contraction and churn remained stable. So it really was an expansion story this quarter. The one other tidbit I'd give is we did have an impact from the carrier fees. They were $20 million in Q3, $6 million in Q2. So that did have a 180 basis point impact quarter-over-quarter. But even adjusting for that in both periods, DBNE or dollar-based net expansion was up slightly.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Joshua Reilly of Needham.
Joshua Reilly: I just wanted to hit on the AI voice start-ups as well in terms of their usage and growth trajectory. Is there an inflection in the last couple of quarters in terms of volumes here, whereas before it was more of an experimentation phase by these kind of hundreds of thousands of AI voice start-ups? And if so, what would you say is driving that?
Khozema Shipchandler: Yes. I wouldn't say an inflection per se. I mean I think it's part of the overall trend that we're seeing around AI a little bit more generally. And obviously, we're a beneficiary of it as it relates to voice AI. I mean I think from our perspective, we're seeing more voice AI agents go into production. But as I mentioned earlier, like for us, it's still a relatively small contributor. I mean we're seeing an impact with those companies. They're accelerating. We talked about the growth characteristics, about 60% in the quarter, but both for the business and then actually as well as even for voice, it's still a relatively small proportion. So I think we're kind of encouraged by the trends that we're seeing, just given that it is still relatively small. We do feel like we sit in the center of the AI value chain. You heard Thomas talk a moment ago about the way in which that's getting adopted into some of our more multiproduct and perhaps more even complex offerings like a ConversationRelay, like an agent productivity solution. And so I think all of these different things are coming together at the right time to be able to drive some additional growth for us. But again, still relatively small in the scheme of things.
Joshua Reilly: Got you. And then is it fair to say that the momentum continued for international messaging in Q3 as well. And curious, what are you seeing in the competitive landscape for international messaging that may be helping you win more? And thoughts around -- that was historically a price-sensitive market, but it seems like you're taking market share with international messaging and what may be driving that?
Thomas Wyatt: Yes. Thanks for the message, Pat. In general, we had a really strong quarter in international as well. It's one of our key growth levers and overall growth was at 18%. So we like that. The -- if you think about it competitively, what we're just seeing more broadly on a global basis is that the multiproduct capabilities that Twilio offers has really helped us differentiate from specific point players in messaging only, for example. And some of the solutions that we've wrapped around our core channel capability has really allowed us to become a more strategic player for some of these customers and helped us win a lot of competitive bids that maybe we wouldn't have won in the past. So we're encouraged with the traction that we're seeing there. I think Genspark AI is a great example. We talked about earlier in the call, but the ability to bring e-mail messaging, voice all together in an integrated experience is a powerful value proposition.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Patrick Walravens of Citizens.
Patrick Walravens: So maybe for Khozema and Thomas, I'm curious what areas you guys feel like you want to invest in the most to help continue driving growth next year and beyond? And then maybe, Aidan, I'll just give you my question upfront. I mean, so on the A2P fees, Verizon raised them. I mean, realistically, shouldn't we expect T-Mobile and AT&T to do it at some point, too? And how do we think about that?
Aidan Viggiano: Why don't I start with the last question, and then I'll hand it back to Khozema. Yes, they may. I mean, listen, what we've factored in is what we know, which is the Verizon impact. We don't know of anything else. We haven't forecasted anything else in our guidance yet, but there could be a day when those AT&T and T-Mob follow the Verizon action. And that would present an additional pressure to kind of our gross margins. But as a reminder, the way this works is it's kind of a gross up of revenue and a gross up of cost of goods sold, but it has no impact on our ability to generate gross profit dollars, profit dollars or free cash flow dollars.
Khozema Shipchandler: Yes. On the first question, Pat, in terms of priorities for investment, like I wouldn't call out anything really different than the things that we've been talking about previously. we feel like we've got kind of the right OpEx envelope for the company. We alluded to some investments in Q2 that we thought were ephemeral in terms of their timing and the impact on the P&L. They've obviously paid off in terms of some of the results that we've seen, in particular, voice AI and RCS adoption, still pretty early days, I would say, on that latter one. And then we made an inorganic investment that we announced today with Stytch. That's an identity company. We think that, that's an important space as we continue to build out our platform. And so I wouldn't call out anything like radically different than things that we've articulated in the past. I think even identity for us is much more about like how do we deliver platform value and a true authentication experience through the platform in a world that's more agent going forward.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Samad Samana of Jefferies.
Samad Samana: First, maybe just if you think about the voice AI customers, I know it's been asked about enterprise versus AI start-ups. But maybe within that enterprise cohort that you're signing up, is it more customers that you have existing relationships with on the messaging side that are exploring voice AI with you? Or is it actually bringing in new customers that are completely new to Twilio because of the voice AI use case? And then I have one follow-up question.
Thomas Wyatt: Yes, I'll take that first one. It really is a balance. A lot of our enterprise customers, again, we do have strategic relationships with and maybe they were a messaging customer initially with just a little bit of voice, and this has accelerated -- Voice AI has accelerated their usage of voice. So that's been a trend for us. But the other is our self-service business is just growing well over 20%. It's -- voice is a big chunk of that growth, as I said, grew 40% this quarter. So that's largely coming from new customers that are doing more with voice. So, in general, it is a pretty good balance across the customer base.
Samad Samana: And then maybe as I just think about the context of a lot of parts of the business firing really well right now, it's been quite impressive, just like sales and marketing has been very consistent in dollar terms. And so I'm just trying to think how do you feel about current capacity, especially as you think about more -- selling more of the products and capturing the opportunity that's ahead of you right now? How should we think about maybe sales and marketing going forward and maybe a sneak peek at 2026 and how you're thinking about that?
Thomas Wyatt: I could start just talk a little bit about how we're running the go-to-market organization more efficiently, and I think that's helped us a lot. But we've been a big user of our own technology. We've got AI assistants that power a lot of our presales motion. In fact, [ ISA ] is what we've mentioned before is our AI assistant for our self-service business. And the AI assistant handles the vast majority of inbound leads for us and helps customers not only get acquainted with Twilio, but also onboard and get activated and upgraded as part of the process. That's allowed us to scale our go-to-market motion there. And the same is true on post sales, where we handle a lot of our typical customer cases and service tickets powered by AI, and that's given us a lot of productivity gains as well. So we'll continue to invest in capacity as we need to, but we've been able to grow through an efficient manner using our own technology.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Ryan MacWilliams of Wells Fargo Securities.
Ryan MacWilliams: Just a high level to start on macro in the quarter. Anything worth calling out that deviated from your expectations either from a seasonality standpoint or a linearity standpoint in the quarter?
Unknown Executive: In short, no.
Ryan MacWilliams: Perfect. And then just on RCS, the existing customers are able to upgrade with no code changes. So will customers immediately begin sending RCS as part of their traditional messaging? And how is interest so far for net new RCS use cases? It's early and you can have different use cases like two-way messaging, but how are folks approaching that at this point?
Khozema Shipchandler: I think it's still pretty early, honestly. Like I think what we are seeing is -- so we're seeing growth, right? So that's encouraging. But I think we're seeing growth off of a relatively low basis. I think what we're finding is that there's a lot of experimentation happening. I think we're finding a lot of that is happening kind of going into this holiday season. I'm not sure that, that's going to manifest itself in terms of like kind of the broad variety of different kinds of RCS use cases that you've seen kind of described. So I think it's still a little bit slow going as far as that goes. But I do think customers that have tried it are excited about the potential for the technology. Obviously, it's very, very strong for marketing, for promotional activities. I think some of the other use cases, especially around notifications, obviously, 2FA, like a more traditional SMS is still kind of hanging in there. And so I'd say it's still early days in terms of what we're seeing. But I think the thing that we're most encouraged by in terms of RCS in terms of like kind of a longer-term view is it is branded. And I think anything that's branded in this world where there's a lot of communication coming at us as consumers is just higher efficacy and more trusted. And so we like those characteristics about RCS, but again, early days.
Operator: Thank you. We'll move to next question. Our next question comes from the line of Rishi Jaluria of RBC.
Rishi Jaluria: Nice to see continued underlying strength in the business. Look, I think we've been talking about some of the margin expansion, capital returns, gross margins. Maybe taking a step back, if we think about the key drivers here where you have durable top line growth and a mix shift story and an AI story, you've got margin expansion and cost discipline, and you've been doing a good job of returning capital to shareholders via buyback. Just how should we be thinking maybe about what is the steady-state free cash flow per share growth profile for this business look like? And I'm not asking for a specific number, but just as you think about aligning the business towards that, how should we be thinking about what that sort of profile on a durable kind of steady-state basis looks like? And then I've got a quick follow-up.
Khozema Shipchandler: Yes, Rishi, this is Khozema. I'll try. I mean it's -- we're obviously not going to provide guidance on it, right? So I think that it's kind of hard to answer the question in that context. But what I would say is that, look, when we kind of went into Investor Day and we kind of tackled this as a newer management team, we are very intent on just driving more financial discipline, more operating rigor in the way that we ran the place. And then in terms of the innovation bets that we were placing to just be a lot more focused about those, right? So I'd say it really starts just in terms of the way that we run the company with those three things. Now as a result of those three things, we've been able to do many of the things that you've been describing, right? So you heard Thomas talk a moment ago about the way in which he's running the go-to-market team. That's been done well. But on top of that, that's also been able to be done efficiently based on some of the investments that he and his team have made into productivity in terms of running that team. As it relates to R&D, I would say there are a handful of bets that we've really put wood behind the arrow on. We're excited about identity, but there, again, relatively small investment in terms of doing a tech and talent tuck-in to augment some of our existing capabilities. As it relates to kind of leverage and then cash flow going forward, you've heard Aidan in the past talk about that it's still relatively early for us. I mean we have undergone some mix shift as it relates to the geographic characteristics of our workforce. I think that's played out pretty well. I think we've been able to keep our employment relatively steady state. And so by definition, we're getting some volume leverage there. I think on top of it all, we still are making investments behind AI, behind automation. I think that drives ongoing leverage and free cash flow. And then look, we're not kind of prescriptive about it per se, but we've said that there's sort of a framework for which we're going to do stock buybacks. When we think that the stock is a good value, we're going to step on the gas a little bit, and we've got a grid that otherwise kind of dictates that. So you put all that together, we feel pretty good about where we've been certainly. But as we look forward, we're pretty optimistic about the trajectory of the company.
Rishi Jaluria: Got it. That's super helpful. And then maybe as we think about some of the AI adoption that you're starting to see, obviously, very impressive. How are we thinking about the opportunity now internationally? I think it's been clear from prior technological ways a lot of the adoption maybe outside of the U.S. takes a little bit longer or happens a little bit of a lag. Maybe how do you think about investing for that opportunity? What are you seeing? And maybe where are there opportunities for you to take advantage and out-innovate maybe some of your competitors outside the U.S.?
Khozema Shipchandler: Yes. It's a good question, Rishi. I guess what I would say is you heard Thomas talk a moment ago about the strength in self-service. And so I think, honestly, like we're doing a lot of what we're already kind of investing in our OpEx window is how do we make that self-serve experience like easier and easier and easier with every turn of the crank. And I think what you're going to see from us going forward is that, that experience is made even simpler. The compliance hurdles are even easier to kind of get over. The AI capabilities that are embedded so that when a customer attaches themselves to our console, it's just like a much simpler, more fluid experience. And I think that will benefit all customers, obviously. But I think with respect to international customers who want to get up and running, I think that will make us even more sort of the vendor of choice. And so I wouldn't say there's something like idiosyncratic that's international versus domestic that we're investing in there. And then as it relates to kind of the go-to-market engine, we pretty selectively invest in Australia, in Japan and Singapore in terms of like having boots on the ground. But obviously, you do have a number of countries in that part of the world that are participating in this. We just held our SIGNAL event in Australia just a few weeks ago. And I would say just based on the conversations that we had there, the excitement that customers have around AI with and without Twilio, frankly, we're pretty encouraged about the trends that we're seeing there, and I think it's going to take off fast.
Operator: Thank you. We'll move to next question. [Operator Instructions] Our next question comes from the line of Andrew King of Rosenblatt Securities.
Andrew King: Really good detail on the cross-sell motion. If you could just give us a little color into the initiatives that you've put in to really help fuel that growth. And then just off of that, if you could give us a little bit of an update as to your current penetration to your customer base, as I know, the majority still hold just one product.
Thomas Wyatt: All right. Great. I'll start with just the sales motion that we're driving, and it's largely powered by the innovation that we're building in the products. And the products are working better together in terms of the various primitives and channels that we have and the ability for our go-to-market team to put together a compelling set of solutions and business outcomes that our enterprise customers and our ISVs can take advantage of. And it's about driving the enablement. Our marketing programs are tied to it. Our compensation plans have been tying to it. So there's a variety of go-to-market initiatives that we've been doing to drive this type of performance. And I think it's still early days. We have a lot more upside when it comes to getting a broader set of customers to consume more and more Twilio services, but we're pretty encouraged with the start that we've had since the beginning of the year.
Andrew King: Great. And if I can just sneak one more in there. It's obviously seemingly, you've been landing more products with new customers at a more rapid pace. Can you just give us any color as to those trends that you're seeing amongst initial purchases?
Thomas Wyatt: Yes. I think a lot of it comes to the self-service business that's really been a great accelerant for new customer additions. And part of that is just we're getting more efficient in managing our funnel, leveraging AI to help us onboard customers faster and upgrade customers faster. And when we do that, that the value and the ROI becomes quicker and customers realize it and then eventually, they expand faster. So it's just been this flywheel of little tighter marketing, leveraging AI a bit better, better integrations across the products to make it simpler and reduce friction. And all of that's helping the flywheel of customer additions that ultimately helps us scale into the enterprise as these customers get larger and larger, our strategic relationships with them grow and it gives us a lot more white space opportunity within those accounts over time.
Operator: Thank you. I'm showing no further questions at this time. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.